Al Kildani - SVP of IR & Corporate Communications:
Catherine Owen Adams - CEO:
Tom Garner - COO:
Elizabeth Thompson - EVP and Head of R&D:
Mark Schneyer - EVP and CFO:
Ritu Baral - TD Cowen :
Tessa Romero - JPMorgan:
Ash Verma - UBS:
Elaine Kim - Canter:
Basma Radwan - Leerink Partners:
David Huang - Deutsche Bank:
Tazeen Ahmad - Bank of America:
Yatin Suneja - Guggenheim:
Joel Beatty - Baird:
Sumant Kulkarni - Canaccord Genuity:
Malcolm Hoffman - BMO Capital Markets:
Operator: Good day, ladies and gentlemen, and welcome to the ACADIA Pharmaceuticals Conference Call. My name is Lauren Cannon, and I'll be your coordinator for today. After the speaker's presentation, there will be a question and answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to turn the presentation over to Al Kildani, Senior Vice President of Investor Relations and Corporate Communications at ACADIA. Please proceed.
Al Kildani : Good afternoon, and thank you for joining us on today's call to discuss ACADIA's first quarter 2025 financial results. Joining me on the call today from ACADIA are Catherine Owen-Adams, our Chief Executive Officer, who will provide some opening remarks, followed by Tom Garner, our Chief Commercial Officer, who will discuss our strong commercial brand debut in New Plaza. Also joining us today is Elizabeth Thompson, Ph.D., Executive Vice President, Head of Research and Development, who will provide an update on our pipeline programs, and Mark Schneyer, our Chief Financial Officer, who will review the financial highlights. Catherine will then provide some closing thoughts before we open up the call for your questions. We are using supplemental slides which are available on our website's events and presentations section. Before proceeding, I would like to remind you that during our call today, we will be making several forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements, including goals, expectations, plans, prospects, growth potential, timing of events, future results, and 2025 financial guidance, are based on current information, assumptions, and expectations that are inherently subject to change and involve several risks and uncertainties that may cause results to differ materially. These factors and other risks associated with our business can be found in our filings made with the SEC. You are cautioned not to place undue reliance on these forward-looking statements, which are made only as of today's date. And we assume no obligation to update or revise these forward-looking statements as circumstances change, except as required by law. I'll now turn the call over to Catherine for opening remarks.
Catherine Owen Adams : Thank you, Al. Good afternoon, everyone, and thank you for joining us. We're off to a strong start in 2025. Our performance this quarter reflects solid execution across the business and continued momentum behind our strategic priorities. From commercial progress to pipeline advancement, we're delivering on our commitments whilst positioning ACADIA for long-term growth. Let me walk you through the key highlights, starting with our commercial performance. We're pleased to report that our commercial business has had a strong first quarter, building on the solid foundation we established in 2024, with first quarter revenues of $244.3 million, up 19% from a year ago. Starting with DAYBUE, this quarter represents a meaningful inflection point in the brand's trajectory. Over the past few quarters, we've successfully stabilized the business and established a solid base of growth to build on. Today, our focus is shifting towards accelerating that growth through deeper patient and provider engagement, and by broadening our overall reach into the community. We generated $84.6 million in DAYBUE sales in the first quarter, up 11% from a year ago. Importantly, the number of unique patients receiving shipments was 954, up meaningfully from Q4, and in fact, an all-time record for the brand. This gives us confidence in the sustainability of DAYBUE's growth, and we reiterate our four-year sales guidance. Turning to NUPLAZID, we reported $159.7 million in revenue for the quarter, up 23% from the prior year. As Mark will detail, that growth included 6% growth in volume, and the remainder was largely attributable to one-time changes in gross to net. We continue to see strong performance driven by our direct consumer efforts, which are helping drive patient awareness and pull through in the form of physician visits. As with DAYBUE, we are reiterating our full year guidance for NUPLAZID, and expect continued solid execution throughout the year. On the R&D front, we're making great progress, and are thrilled to update you that it's our timeline for last patient in, and therefore, top-line results from our COMPASS PWS Phase 3 study in Prader-Willi syndrome are now both expected to happen before the end of 2025. We're also excited to host our first ever R&D day next month. This event will offer a deeper look into our development strategy, and allow us to showcase some of the promising innovation that's taking shape across our pipeline. We look forward to introducing you to more members of our team, and sharing how we're thinking about the next wave of growth. With that, I'd like to turn the call over to Tom to discuss our commercial performance in the first quarter.
Tom Garner: Thank you, Catherine. I'll begin with a review of DAYBUE, where we have made exciting progress. First quarter sales were 84.6 million, up 11% from a year ago. Although sales were down sequentially, as we explained would be the case in our last call, the underlying patient dynamics were positive. During the quarter, 954 unique patients received paid shipments, up from 920 in the fourth quarter. In fact, as Catherine said, this was the highest number of patients served in a quarter since the launch of DAYBUE over two years ago. While we continue to add new patients, a key driver of this performance was a significant reduction in discontinuations and improvements in persistency. Discontinuations were down 35% sequentially from the fourth quarter of 2024, and declined 66% compared to the first quarter of 2024. Overall, our persistency rate remains above 50% after 12 months, driving a growing stable base of patients to remain on therapy long term. With 65% of our active patients now having been on therapy for 12 months or longer. With regard to patient mix, our strategy is playing out as intended. In the first quarter, we saw more new scripts from the community setting, including a high number of prescriptions from pediatricians. This was particularly encouraging as it occurred ahead of the field force expansion, which we announced in the first quarter. I'm pleased to share that all planned hires for the expansion have now been completed, and I'm confident our expanded customer model and refined strategy will begin contributing to further debut sales growth in the second half of the year. As a reminder, to date, roughly two-thirds of diagnosed Rett syndrome patients have yet to try DAYBUE. Turning to our plans outside of the U.S., we continue to lay the foundation for a strong launch outside the US once we obtain approval from the EMA, which we anticipate in the first quarter of 2026. As a reminder, the opportunity in Europe is substantial, with an estimated 9,000 to 12,000 individuals affected by Rett syndrome. We have now hired an experienced General Manager for Europe and continue to build out the commercial team behind him. We have also initiated managed access programs and in April have already served the first Rett syndrome patient under this program in Germany. We continue to see strong interest in access to trofinetide prior to approval. For the rest of the world, we recently entered into distribution agreements for named patient access in geographies, including Latin America, the Middle East, Asia Pacific, and other countries around the world and are already receiving inquiries. In summary, I'm very pleased with the progress we have made with DAYBUE. As you can see from the first quarter results, we have now started to see renewed growth in patients, and this gives us confidence that we will be able to accelerate growth in the second half of the year with our broadened field footprint as we expand penetration into the community setting. We believe we now have the strategy, structure, and resources available to maximize growth through 2025 and into 2026. Turning to NUPLAZID, we were pleased to see the strong momentum built throughout 2024 continue into 2025. NUPLAZID achieved first quarter sales of $159.7 million, representing 23% revenue growth year over year, of which 6% came from volume. In fact, the first quarter of 2025 was the best quarter in terms of NUPLAZID prescriptions since 2020. We believe this gives us strong momentum for the rest of the year, even as we have a significant opportunity to further expand our share of the Parkinson's disease psychosis market. We continue to see the benefits from both our unbranded disease awareness campaign as well as our branded campaign. These efforts led to higher engagement across our unbranded disease awareness and NUPLAZID websites, helping to spark more meaningful conversations between patients and their physicians, with a nearly 30% increase in awareness of Parkinson's-related hallucinations and delusions since the launch of the More to Parkinson's campaign. Our consumer activation campaigns have complemented and enhanced the core growth drivers that have supported the NUPLAZID brand for over two years, including leveraging of our published real-world evidence, showing an association of PIV events and use compared with other atypical antipsychotics in important outcomes like all-cause mortality. From a brand perspective, our primary focus is on identifying PDP patients earlier in their Parkinson's journey and ensuring they're aware of available treatments upon diagnosis. It's crucial to remember that while approximately 50% of Parkinson's disease patients will experience hallucinations and delusions, it's estimated that only 10% will ever self-report these symptoms. Therefore, we will continue to actively engage with the Parkinson's disease community across both HCP and consumer audiences to drive earlier awareness, diagnosis, and treatment of Parkinson's disease psychosis, and to help ensure that NUPLAZID is recognized as a first line therapy for this challenging condition. Overall, we remain highly confident in our ability to drive meaningful growth for the brand through 2025 and beyond. I'll now turn it over to Liz.
Elizabeth Thompson: Thanks, Tom. I'm delighted to start out today with an important update for our pipeline. As Catherine mentioned in her opening remarks, due to the diligence of our team and support of the community, the timeline for our COMPASS PWS Phase 3 trial for ACP-101 has accelerated. As a result, we now expect closed screening within the coming days, which should allow us to complete enrollment this quarter. With that, we're now expecting top-line results by early fourth quarter of this year. Assuming positive data, we believe that sets us up for a potential regulatory submission in the U.S. in the first quarter of 2026. As a quick reminder, ACP-101 is an intranasal delivery of Carbetocin, a long-lasting analog of human oxytocin. Carbetocin was developed to more selectively bind to the oxytocin receptor. We're developing it for the treatment of hyperphagia and Prader-Willi, which is a rare genetic neurobehavioral disorder. Hyperphagia, an intense, persistent sensation of hunger, is a defining characteristic of Prader-Willi. Again, we're pleased to pull these important milestones into 2025 and look forward to reporting results later this year. Next, I'll turn to our second late-stage clinical program, ACP-204, our new 5-HT2A inverse agonist that we designed based on learning from Pimavanserin. We continue to make important progress with ACP-204 as well, now moving it forward in two indications. First, we're currently conducting a global, double-blind, placebo-controlled Phase 2 study in Alzheimer's disease psychosis, or ADP. We've designed the program for seamless enrollment from Phase 2 to Phase 3. For this program, we continue to expect last patient in during the first quarter of 2026, followed by top-line results around mid-2026. We're also advancing ACP-204 into a second indication, Lewy Body Dementia Psychosis, a serious neurodegenerative condition linked to alpha-synuclein buildup, and marked by cognitive, behavioral, and motor symptoms. Affecting over 1 million people in the U.S., LBD is one of the most common forms of dementia. Prior data with Pimavanserin showed encouraging signals in this population, supporting the potential of ACP-204 to address hallucinations and delusions. For Lewy Body Dementia Psychosis, we remain on track to initiate a Phase 2 study in the third quarter of this year. Now, I'd like to turn to our updated pipeline and provide a few additional updates. First, I'm looking forward to sharing more details on these programs at our R&D Day next month. In particular, I'm excited to share additional insight into our plans and the supported data regarding some of our most newly disclosed programs. The event is intended to provide a bit of a deep dive into each of these programs, as well as to allow you an opportunity to meet some of the senior members of our R&D team. We're also looking to give you an understanding of how we think about drug development here at ACADIA and the high bars we put on our potential medicines at every step along the way. You'll hear that from us, as well as through input from KOLs, caregivers, and patient advocates, who are our true north as we make tough decisions about what innovation to continue to pursue and where to focus our resources. At this time, I want to share an update related to our collaboration with Stokes Therapeutics. We continue to be excited by the data we are seeing from the SYNGAP1 program and look forward to getting to the next decision-enabling data early next year. With respect to the other discovery programs in the collaboration, ACADIA has reached the conclusion that there's not a viable path forward for the Rett or the Undisclosed Program. Accordingly, we will be winding down our efforts for both of these programs. Finally, I want to provide a brief update on trofinetide, our marketing authorization application for trofinetide in the EU remains under review, and we continue to anticipate approval in the first quarter of 2026. In Japan, our engagement with the PMDA remains productive. I'm pleased to share that we have officially received orphan drug designation. This has various benefits but, importantly, offers the potential for priority review. And we remain on track to initiate a Phase 3 trial in Japanese patients with Rett syndrome in the third quarter of this year. And now, I'll turn it over to Mark for a financial update.
Mark Schneyer : Thank you, Liz. Let's now review our first quarter 2025 financial results. In the first quarter of 2025, we recorded $244.3 million in total revenue, up 19% from the first quarter of last year. First quarter DAYBUE net product sales were $84.6 million, up 11% year over year on the strength of achieving an all-time high in terms of number of unique patients receiving shipments. As we signaled on our Q4 call in February, we expected DAYBUE net sales to be down sequentially. Factors contributing to this included the fourth quarter pull forward of approximately $3.5 million in net sales, typical beginning of year seasonality impacting both volume and net price, and a sequential decline in net price per bottle of DAYBUE attributable to the impact of the Medicare Part D redesign. The DAYBUE gross net adjustment for the quarter was 24.9%. Importantly, we continue to expect all the key metrics that drive DAYBUE net sales to increase throughout the remainder of the year, including unique patients served, bottle volumes, and net price. Turning next to NUPLAZID. First quarter NUPLAZID net product sales were $159.7 million, up 23% year over year, with 6% attributable to volume. The anticipated net price benefit of 16% was largely attributable to a one-time change in gross to net as a result of the Medicare Part D redesign as part of the Inflation Reduction Act. Moving forward, we expect our gross to net to stabilize without significant quarterly fluctuations. And to remind you, ACADIA is benefiting from qualifying as a small company manufacturer under the inflation reduction. As a point of reference, our gross price for NUPLAZID in the quarter was up just over 2% year-over-year. The NUPLAZID gross to net adjustment for the quarter was 24.1%. R&D expenses were $78.3 million in the first quarter, up from $59.7 million from the first quarter of 2024 due to increased spend on clinical stage programs. SG&A expenses for the quarter were $126.4 million, up from $108 million in the first quarter of 2024. The increase was primarily driven by the continuation of our NUPLAZID consumer activation campaign as well as higher commercial operation expenses for our planned expansion of the debut team. Our cash balance as of March 31 was $681.6 million, while cash flow from operating activities was positive in the quarter, cash declined sequentially, primarily as a result of $98.8 million in payments made to Neuren, reflecting payments of a sales milestone and their share of the net proceeds from the sale of our PRV, as I explained on our last call. Let's turn to our 2025 guidance. As you can see on this slide, we are reiterating the full year 2025 financial guidance first provided on February 26 with the exception of R&D expense. We now expect to spend $330 million to $350 million, up from our prior range of $310 million to $330 million. The increase is primarily related to the acceleration of the timeline for HCP 101, which is pulling forward spend from 2026. And to conclude, regarding uncertainty around the potential tariffs, it's important to note that for both NUPLAZID and DAYBUE, we have substantial inventory on hand in the United States. For NUPLAZID, we have enough inventory to meet anticipated demand into the mid to late 2030s, and for DAYBUE, we have a few years' worth of inventory. And now I'll turn the call over to Catherine for closing remarks.
Catherine Owen Adams : Thanks, Mark. Our first quarter results reflect a strong start to 2025, and we are well positioned to build on this momentum. We are eager to deliver on the value-creating milestones you see on this slide in 2025 and 2026. I'm pleased that one of those significant milestones has been accelerated, with top-line results from COMPASS PWS now expected in the fourth quarter of this year. We have delivered on key commitments from our Q4 call, including expanding the DAYBUE field force and launching a global managed access program. We remain sharply focused on executing against our strategic priorities, accelerating DAYBUE's commercial trajectory, capitalizing on the continued momentum of NUPLAZID, expanding our global presence, and advancing a pipeline designed to deliver innovative therapies to underserved patient populations. In line with this strategy, we're pleased to invite you to our inaugural R&D day on June 25th, which will be broadcast live. I look forward to keeping you updated as we execute through the remainder of the year. And with that, I'll turn the call over to the operator. Operator?
Operator: Thank you. At this time, we will conduct the question-and-answer session. [Operator Instructions] Our first question comes from the line of Ritu Baral with TD Cowen. Your line is now open.
Ritu Baral: Good afternoon, guys. Thanks for taking the question. I wanted to ask about, I guess, one question on 101 and then one question about DAYBUE for Europe. One, what does good 101 data look like? And can you discuss how that may relate to your last discussions with FDA on the filing strategy? And then, as far as Europe, how should we be thinking about modeling a European price for DAYBUE? And then, just balancing the pricing risk from a potential most favored nation drug pricing development that I think we're all sort of watching. Thanks for taking the questions.
Catherine Owen Adams : Thanks, Ritu. I appreciate those two part questions. So I'm going to ask Liz to kick us off on 101 and then I'll talk about the EU strategy.
Elizabeth Thompson: Thanks, Catherine. Hi, Ritu, and thanks for the question. First off, I do want to reiterate how very pleased we are to find ourselves ahead of schedule with respect to 101 and looking to have data out of this study by the end of the year, which we think is going to be a pretty important milestone for ACADIA as a company and really reflects great effort by the team, as well as I think good enthusiasm from the community. So positive all the way around. In terms of your question about what a good outcome would look like here? The nature of the trial is such that I'm going to be very pleased if what we have is a statistically significant result. We've powered this such that we think that if we have statistical significance. We're going to have demonstrated a clinically meaningful impact on hyperphagia, which really is a defining and truly terrible symptom for these patients to be living with. There are a number of other things that we're looking at in this trial that we think are interesting, but that outcome on hyperphagia is really what's going to drive us here.
Catherine Owen Adams : And then I'll start on the EU. It was a two-part question, Ritu, about the price in terms of modeling and then the most favored nation. Let me maybe start with the most favored nation first. I think as we all look out into the unknown of the future of whatever might happen with the decisions on that, we're looking really to focus on the approval of DAYBUE in Europe. And then after that, as you know, reimbursement takes quite a period of time across the different member states and the countries. And we'll assess any specific recommendations that come out of the administration with respect to most favored nation as we are able to sort of understand it and make decisions as we move forward on pricing and reimbursement in individual countries. With respect to EU price, I think we've spoken before about a number of rare analogs that are out there that you can probably use for your modeling. What I will say is that we are confident in getting a strong EU price that allows us to display the value that we believe we're bringing with DAYBUE to our patients in the Rett community. And we will continue to update you as we have those discussions moving forward. Thanks, Ritu.
Ritu Baral: Thank you.
Operator: Thank you. Our next question comes from the line of Tessa Romero with JPMorgan. Your line is now open.
Tessa Romero: Good afternoon, Catherine and team. Thanks so much for taking our question. So for each of your brands, NUPLAZID, DAYBUE, what is the right way for us to be thinking about what we are likely to see sequentially from 1Q to 2Q from a growth perspective? What are the key factors and drivers we should be thinking about from a 1Q to 2Q basis as we are trying to model this out? Thank you.
Catherine Owen Adams : Thanks, Tess. I'm going to ask Tom to talk about maybe patients and models and Mark to talk about more of the sort of sequential financials, if that's okay. So Tom, why don't you kick us off?
Tom Garner: Yeah, thank you for the question. So I'll maybe start with DAYBUE. So as we shared, we had a good first quarter in terms of active patients. And we believe that that's going to continue. Q2, obviously, we'll begin to see the full impact of our expanded customer model, which as a reminder, the primary goal behind that is making sure that we can really meet patients where they're seeing their treaters. As a reminder, we are pretty underpenetrated outside of the COEs and outside of the COEs represents around 65% of the overall Rett patient volume. So significant headroom for growth. I think with the expansion of our field model, which again, we've increased our field footprint across all functions by about 30%. We do anticipate that we will continue to see new patient ads at the top of the funnel, which is our primary focus. And at the same time, as we shared, we continue to see really encouraging data regarding ongoing persistency and discontinuations continuing to decline. And I think that that reflects just the continued learning we've had around the product, making sure that we really support the Rett families as they start DAYBUE. And encouragingly, as you look at the discontinuation data, we're seeing it across all of the cohorts that we've had since launch, including those who have been on treatment for less than three months, which is critically important as you think about modeling out the rest of the year. Because we want to ensure that every single new patient start is able to continue for the long term. So that kind of touches upon DAYBUE. I think for NUPLAZID we continue to be pleased with the impact that our unbranded and branded campaigns are having. We're seeing good, good momentum around referrals, our MBRXs are looking positive. And as we mentioned, Q1 of 25 was actually the best quarter that we've had in nearly five years for NUPLAZID. And we believe that encouraging momentum is something we will continue to pull on as we head through the rest of the year. Mark?
Mark Schneyer : Yeah, thanks, Tom. And I think from a financial perspective, starting with DAYBUE, both brands, it's really going to be a volume story throughout the rest of the year. And Tom explains the operational dynamics. On DAYBUE, from a kind of a net sale standpoint, we do expect kind of price to gradually increase over time as we benefit from kind of Medicaid, as you remember, DAYBUE is largely a Medicaid patient population. So the Medicaid pricing resets on a quarterly basis. So we should benefit from some price benefit over time about the inflation level. And then in Q1, for DAYBUE, we do tend to have higher Medicaid rebates because we have a segment of our patient population are dual eligible Medicaid commercial payment patients. And those patients as they get through their out-of-pocket maximums tend to shift towards commercial payments over time. And so that also is a tailwind from a little bit of price. As we've talked about on our last call, and Tom mentioned, we've initiated our expansion of our DAYBUE field team, and that we expect operationally to have a greater impact in the second half of the year. On NUPLAZID, I think it's probably more consistent. Our volume will drive the quarter to quarter performance. You don't have the same level of dynamics on changes in price over time. NUPLAZID is largely a Medicare patient population. So the pricing doesn't reset on a quarterly basis. So it's really a one-time reset towards the end of the year. So our growth to net subject to what anything can happen on a quarterly basis due to patient mix should be mostly stable throughout the remainder of the year. We did have the big time one-time adjustment, as we mentioned, comparing Q1 last year to this year. But going forward, probably pricing should be relatively consistent, and volume will drive the performance over the quarters.
Tessa Romero: Great. Thank you.
Operator: Thank you. Our next question comes from the line of Ash Verma with UBS. Your line is now open.
Ash Verma: Okay. So congrats on the progress. I wanted to ask about the pipeline. So maybe just on Carbetocin, so the prior attempt by Levo Therapeutics had failed on the high-dose, but successful on the low-dose. And particularly, you generally don't see inverse-dose relationships. Like, what makes you confident that low-dose can generate positive data and be accepted by the FDA? And then just secondly, any thoughts on GLP-1 using predominantly? Thanks.
Catherine Owen Adams : Thanks, Ash. I think Liz is going to answer both of those for you.
Elizabeth Thompson: Yes, indeed. Thanks, Ash. So exactly as you say, there was a prior Phase 3 trial that was run that had two doses, a 3.2-milligram dose and a 9.6-milligram dose. And the 9.6-milligram dose didn't show statistical separation from placebo. The 3.2-milligram dose did appear to separate from placebo, though, of course, that was only nominally statistically significant. So, as you take a step back, when we think about this, there are a few things that give us confidence in the need to run a second trial with a 3.2-milligram dose and why that's a sensible thing to do. The first of this is that there is mechanistic reason to think that oxytocin and therefore Carbetocin is going to be relevant in Prader-Willi. The second piece is that as we look at that 3.2-milligram dose dataset, we do see some signs of internal consistency, so positivity at more than one time point and positivity on more than one end point. That helps give some additional reassurance about the consistency of that data set and the likelihood that it represents truth. And then finally, I'm always looking for an alternative explanation. Exactly as you say, the inverse dose response is not your typical thing, but it does happen. And there needs to be an explanation as to why that might be the case. It's not possible to prove ultimately with the data that we currently have in hand, but there is a good rationale for the idea that off-target impact of the vasopressin receptor could have the effect of essentially obscuring the ability to see an improvement on hyperphagia and that you get more of that at the higher dose. It's a plausible hypothesis as to how we could have gotten that dose response. And we take all those other pieces of information to pull together to give us some confidence in running this trial and in the likelihood that 3.2-milligrams is going to be useful. And then I apologize, I forgot to write down what the second, GLP-1. So, the data on GLP-1, there is some use of it within Prader-Willi. There certainly aren't definitive studies that make it clear that it is useful in this patient population. So, I would say the jury is still pretty out on whether GLP-1s are helpful for patients with Prader-Willi.
Ash Verma: Perfect. Thank you.
Operator: Our next question comes from the line of Charles Duncan with Canter. Your line is now open.
Elaine Kim: Hi, this is Elaine Kim for Charles. Thank you for taking our questions. I just wanted to ask for the Phase 3 COMPASS trial. Are there any phenotypic behaviors or patient subsets, like genetic subtypes or age groups that are more likely to respond to treatment?
Catherine Owen Adams : Thank you. I'll let Liz talk about it as well.
Elizabeth Thompson: Sure. So, I do have to give the caveat here that, of course, the dataset we have based on right now is really the prior dataset, which is relatively small. That said, with the data that we have to date, we haven't been able to identify patient subsets that are more or less likely to respond to Carbetocin. We will get some more information out of this, out of the COMPASS trial, but, of course, that is a currently enrolling and currently blinded trial, so I'm not able to answer that right now. But thus far, nothing that clearly identifies for us patients who are more likely or less likely to respond.
Elaine Kim: That makes sense. And, you know, congrats on the accelerated enrollment. I just wanted to ask a quick follow-up regarding the R&D day next month. I understand that you're giving additional details and data across the pipeline programs, but will you be going through each clinical programs individually? Like, I understand that essential tremors joined recently, so what are your -- could you provide additional color plans?
Catherine Owen Adams : So, let's just go ahead and jump in here. Okay. So, we do anticipate touching on all of the, certainly all of the currently clinically staged programs. So we would have a touch on essential tremor in there as well. And we do have some new data that I'm looking forward to sharing on that program in particular.
Elaine Kim: Fantastic. Thank you for taking our questions.
Catherine Owen Adams : Thank you.
Operator: Thank you. Our next question comes from the line of Marc Goodman with Leerink Partners. Your line is now open.
Basma Radwan: Hi. Good afternoon. This is Basma on for Marc. Thank you for taking our question. We have a question on DAYBUE. Can you provide some color on the utilization rate or the compliance in the quarter? And also, if you can provide some color on the average age and weight of the patient on therapy to date, and whether you see correlation between the age and the discontinuation rate. That's it for us. Thank you.
Catherine Owen Adams : Thanks. I'm going to let Tom talk to the compliance and any insight on the weight age correlation.
Tom Garner: So, in terms of compliance, if you recall in the fourth quarter, we said that our compliance rate was in the below 70% range. It was marginally down in Q1 in the very high 60s. We believe that this is down to primarily customers just becoming more confident in their titration strategies. We are seeing that some patients are actually starting on a lower dose, and then moving upwards as they continue with therapy. And we think that this may actually be contributing to the just ongoing persistency that we're now seeing with new patient starts as well. So encouraging is nothing that we are overly concerned about, because our goal is to make sure that every single new patient start that we have is able to continue for the long term and truly see the benefits that we know that DAYBUE offers. So that's what I would say around that. In terms of our broader patient mix, I mean, it continues to be across a broad range of patients. We have started to see over time some older patients, more mature patients who may not have necessarily been there at the beginning come online. And obviously, they would be slightly heavier in terms of weight banding. But generally speaking, I think the dynamics that we've seen since launch have kind of held relatively stable.
Catherine Owen Adams : And I think the other part of that question was, do we see a dynamic between persistency and age? And I think the answer is we don't actually see anything across the age range in terms of a link between age and persistency.
Tom Garner: Yeah. And as I mentioned, encouragingly, I think all of the cohorts that we saw throughout 2024, we've seen improvements in persistency across them all. And I think that, again, that gives us great confidence that as we move into ’25. We'll be able to continue with that kind of dynamic into the rest of the year.
Catherine Owen Adams : Great. Thanks, Tom. Does that answer your question?
Basma Radwan: Yeah, thank you very much.
Operator: Thank you. Our next question comes from the line of Paul Matteis with Stifel. Your line is now open.
Unidentified Analyst: Hey there. This is Julian on for Paul. Thanks so much for taking our question. I guess another one on trofinetide for ex-U.S. approvals. I guess, what do you guys sort of see as maybe the biggest risk to the approval process? I guess, could you just speak to your confidence in getting EMA approval and eventual reimbursement there? And then I guess a second quick one is just where does BD fit on your list of priorities this year? Is this mainly about execution, under new management or are you interested in transacting? As other executives have mentioned that, valuations have come down and biotechs have sort of been reaching out to pharmas for a partnership. Thank you.
Catherine Owen Adams : Hey, thanks, Julian. I'll start on both of those and if Liz wants to add in. In terms of our EMA time clock, it's proceeding as per expectations. We're coming up to our 120-day questions. As you know, we've got approval in both the U.S. and Canada now. So regulatory team is fairly well apprised of the questions. And we had nothing different or any communication to suggest that we're not proceeding according to the time clock. As and when we get our day 120 questions, we may share a little bit more. But for right now, we're feeling very confident that we're proceeding down the right path. In terms of BD, the question was, are we just going to execute or are we interested in transacting? I think, we are very interested in transacting according to our principles. And as we've shared before, we're looking for exciting assets in areas of higher medical need where we can bring the ACADIA team into the space with confidence that we could commercially launch. And so we're looking for those assets right now. We're actively out there. We remain disciplined in terms of our P&L management and ensuring that we are keeping our P&Ls, as Mark likes to say, pristine. But we are very much looking actively, not only in our core spaces of neuro and neuro rare, but also to reinforce our direction at JPMorgan, where we explain that we're now opened our aperture and are actively looking at rare diseases outside the neuro space, including endocrine, metabolic, cardiovascular, immunology, and other spaces. So we're excited to continue to look at that and are diligently doing that right now. The market is what the market is. We're actively looking at those compounds against the criteria I've just shared. Mark, do you want to add anything to that?
Mark Schneyer : Yeah, I think for us, we're well positioned to act in the current environment. I think for us, the question when you have kind of swings in valuations, do people on the other side of the table have their expectations reset? And I think for us, if that happens, we're able to get good strategic deals at good financial value for the company. We're ready to transact and expand the portfolio. And if that hasn't happened, we can stay patient until the right time.
Catherine Owen Adams : Does that answer your question, Julian?
Unidentified Analyst: Absolutely.
Operator: Our next question comes from the line of David Huang with Deutsche Bank. Your line is now open.
David Huang: Hi there. Thanks so much for taking my questions. So first on DAYBUE, I just wanted to ask about the persistency you're seeing here long term at 12 months. I think you mentioned it was a little bit north of 50%. Is there more work to do there? Do you think that can materially improve or are we kind of more at steady state and it would be more beneficial to focus on net patient ad? And then just with Prader-Willi, your asset versus commercial positioning of Soleno's product, which is now on the market. How do you kind of think about that? Thanks a lot.
Catherine Owen Adams : Great. Thank you for the two-parter, David. I'll let Tom start on that one.
Tom Garner: Yeah. Thanks, David. So as we mentioned, yeah, our persistency is around 50% after 12 months. We expect that that's going to kind of stay within that ballpark moving forward. So we don't anticipate there's going to be big swings up or down given the data that we're seeing come through. Just as a reminder as to how we're getting there. Obviously, we mentioned we've seen a nice continuation in terms of the discontinuation story that we showed in Q4 with a 35% improvement in the quarter. We believe that that's important as we now really focus all of our efforts on driving new patient starts. And that's been the primary angle and primary focus of the expanded customer model that we mentioned as well. So absolutely, I think you should be thinking about two main factors, new patient starts and active patients. Because it's going to be the active patients that we believe that we can continue to grow over time that are really going to be meaningful for the ongoing revenue uptick for this brand into the long-term.
Catherine Owen Adams : Liz, do you want to touch on opposition versus the new Soleno product?
Elizabeth Thompson: Sure. I'll start out with the fact that, I mean, we're delighted for the PWS community that there is now a first therapy available for them. That said, I think we see this as an area of significant high unmet need and complex patients who are dealing with a number of different challenges. It's the kind of space where we think that it's likely that there is going to be absolutely room for multiple agents that are used with different MOAs, with different benefit-risk profiles that physicians can use according to the patient that's in front of them. I don't know if there's anything you want to add here, Tom?
Tom Garner: Well, the only thing I would add is we know that the Prader-Willi population, they have very complex and distinct needs. And we actually believe that there's going to be an opportunity for more than one product to play here. And I think with therapeutic areas like this, the notion of combination therapy could also be something that plays out into the future as well. So, a pretty substantial patient population here in the U.S., plenty of opportunity for more than one player to play. And we will be ready to launch the day to be positive.
Elizabeth Thompson: Yeah. And we do spend a lot of time, of course, talking to caregivers, advocacy organizations. And we hear pretty robustly that. Again, they are delighted that there is something available for their family members now. And they absolutely think that there needs to be continued therapies and the ability to treat an individual patient for their individual needs.
Catherine Owen Adams : Thanks, guys. Hopefully that answers your question, David.
David Huang: Yeah, thank you.
Operator: Thank you. Our next question comes from the line of Sean Lehmann with Morgan Stanley. Your line is now open.
Unidentified Analyst: Hi, good afternoon. This is Catherine on for Sean. Thank you so much for taking our question. Just one from us on your earlier pipeline. For ACP-711, you announced the successful completion of the Phase 1 MAD cohorts earlier this year. We're just curious if you can provide any color on what you observed here? And if you have an update on the status of that study. Thank you.
Catherine Owen Adams : Yeah, so I think what I'd share there is consistent with what we put out at the time. We were pleased with the safety and tolerability profile we were seeing in that study. There are some interesting pieces on the biomarker side that we'll be sharing at R&D Day. So please feel free to come in and look for that. Status-wise, we're continuing forward with additional explorations that we think are necessary to get us lined up for the Phase 2 that we're planning to start in 2026. So continued good progress there.
Unidentified Analyst: Thanks, Catherine.
Operator: Thank you. Our next question comes from the line of Tazeen Ahmad with BofA Securities. Your line is now open.
Tazeen Ahmad: Hi, good afternoon. Thanks for taking my question. For trofinetide in EU, can you maybe, Catherine, give us a sense on in what ways the launch could be different from the trajectory that DAYBUE has seen in the U.S.? I know you bring a lot of experience from launching products outside of the U.S. What kind of I guess attention to specifics should we be paying as we think about how to model out European launches for your drugs and how we think about DAYBUE in general?
Catherine Owen Adams : Yeah, thanks, Tazeen. So let me start with the European overall population being larger than the U.S. So we are -- but that is sort of in line with country size. So there's no specific country that has more or less patients. So as you know, Germany being the largest country in the EU, we will launch first into Germany. As you know, there's a period of free pricing. And then after that, we start to negotiate with them. And then beyond that, we'll look at each of the countries and start those negotiations with the national payers. Yes, both Tom and I have our experience that launching in Europe. We also have now put in place a really great team who have a lot of rare experience in Europe. And we're building up our dossiers. We're building up our value story. And we're ready to start those discussions with the authorities as soon as we get that regulatory approval. I think to your point about learning from the U.S. launch, as with all global launches, the launch country, which generally tends to be the U.S., is the one where we can learn a lot. And I think we have learned about the importance of working with families and the importance of making sure that we really are sharing the titration strategies that have been put in place here. So there's a lot of work going on right now with the KOL communities, with the advocacy groups. We had a big bonus of patients in the U.S. that came out the gate pretty strong. We're also getting a lot of inquiries from patients in the European Union. And that's why we've put in place our main patient program and managed access program for those physicians that want to access trofinetide in the countries where it is legally and regulatory allowed. Those processes will be in place. We don't expect sort of the same sort of massive bonus of patient dynamic. But each country is going to be slightly different depending on how many of their patients are on those managed access programs. So we feel very confident that we understand what we're doing. We understand how to get our product into the market. And we're also investing appropriately. We're not investing all over the place. We're being very strategic about where we build our teams, about where we put our people. And we will take into account any future administration directives that affect that, too. So we're very conscious about it, but also very excited -- and mostly excited by the advocacy groups who are very, very interested in accessing trofinetide for their loved ones. So thanks, Tanzeen, for the question.
Operator: Thank you. Our next question comes from the line of Gregory Renza with RBC Capital Markets. Your line is now open.
Unidentified Analyst: Hi, Catherine and team. It's Anish on for Greg. Congrats on the progress this quarter, and thanks for taking our questions. Firstly, as a follow-on to David's previous question, what unique aspects of your commercial engine or priorities within the target market? Do you believe you'll be able to leverage to rise above competitors in the PWS market, both with respect to Soleno and other therapies in development? And secondly, obviously, there's a lot of concern across the sector on macro and policy exposure for companies. I know you commented on inventory already, but maybe if you could just share some thoughts around where DAYBUE and NUPLAZID might be impacted along their respective supply chains and how you're navigating that. Thanks so much.
Catherine Owen Adams : Great. Thanks, Anish. Quite a few different subsets of questions there. So let me start by just giving you an overview of my thoughts around the commercial engine. I'll ask Tom to add, and then we'll throw it to Mark to talk about supply chain and tariff. So just in terms of commercial engine, we have a very strong team now, both in Neuropsych and in Rare, who understand the subtleties of launching within a rare space, and we've learned a lot through the DAYBUE launch. So we feel very well prepared as a company to work within the Prader-Willi community. We have strong associations with them already. We have our teams out there right now. And as Liz has already outlined, we feel very strongly that the community is asking for as many options as possible for their patients. These are complicated, complex patients. And we'll see over time the need, I believe, for more than one therapy option for sure. So we feel very confident in our ability to go out there and compete, but also offer patients choices which we believe are very important. Tom, is there anything you'd bring from that, your previous experience in Rare?
Tom Garner: Yeah, I mean, I would say that clearly we have already launched a rare product in very recent history, the DAYBUE. I think we've learned a great deal as we've gone through that launch. And as Catherine mentioned, I think both Catherine and I have had the privilege of launching products in other rare spaces. And I think being able to continue to kind of build that muscle, make sure that we're pulling through the experiences that we have, and really making sure that as the 101 data reads out, that we're able to leverage the product profile in an appropriate way as quickly as possible, taking all of the learnings that we already have, but also thinking about some of the kind of unique aspects that we bring as ACADIA with a true kind of focus on the patient and on patient advocacy. I think we will have a significant leg up in making sure that we can be highly competitive, even as a fast follow.
Catherine Owen Adams : Mark, do you want to talk about the supply chain?
Mark Schneyer : On the supply chain, obviously we're monitoring all the events of the day as it relates potentially to tariffs that may come forth for the industry. I think as our supply chain is set up today, our API for both products is manufactured outside the U.S. The APU has drug product manufacturing in Canada and the U.S. The drug product manufacturing for NUPLAZID is all in the U.S. I think what we've done thus far in recent months, as I mentioned on the call, was onshore as much inventory as possible due to investments that the company had made previously in advance of potential DRP approval. The company did make investments in inventory for supply for [Indiscernible], which is why we have the supply. All of that's in the United States today and can last us into the mid to late-2030s. And we don't own any manufacturing sites, so we don't have any infrastructure that's set up with our supply. Like everybody, we look at our supply chain to make sure we have assurances of supply, redundancy, high quality suppliers, appropriate price. If there are tariffs that's one cost that will be considered in the overall supply chain. But from a manufacturing standpoint, time and investment can change everything. So nothing's permanent, but nothing changes overnight. I think we feel very comfortable in the position that we are today with our inventories. And we'll keep the supply chain as is until there's an appropriate reason, whatever that may be, to change it. We can do that in the future.
Catherine Owen Adams : Thanks a lot.
Operator: Thank you. Our next question comes from the line of Yatin Suneja with Guggenheim. Your line is now open.
Yatin Suneja: Hey, guys. Thank you for taking my question. Question on the Prader-Willi study. Are you able to talk about the powering of the study and the kind of size of the study is pretty robust? What effect size are you powered for? What is the minimum delta you are able to achieve? Thank you.
Catherine Owen Adams : I'll ask Liz to talk about the effect size and the powering for our study.
Elizabeth Thompson: Yeah, so I think probably the most important thing to remember here is that we have a study that is substantially larger than the prior study where there was nominal significance. But -- where -- if 3.2 had been run by itself, we would have anticipated having a significant p-value. So that is a check in our column. As far as we think about the specifics of the powering that underlies this, we actually looked at a number of different potential powering scenarios to make sure that we were adequately covered for a few possibilities. The one that is most obviously disclosed is a slight increase in terms of the delta between placebo and active, and that's reflective of the fact that we have a slightly longer time point in this trial than we did in the prior study. But I think broadly consistent expectations with what we've seen historically and a number of different scenarios that get us with strong 80%-plus powering.
Catherine Owen Adams : Thanks, Liz. Thanks for the question.
Operator: Thank you. Our next question comes from the line of Joel Beatty with Baird. Your line is now open.
Joel Beatty: Hi, thanks for taking the question. It's a little bit of a math question on DAYBUE and the ability to find new patients starts faster than patients discontinue. And I guess it's in the context of you're getting close to 1,000 patients on therapy in a quarter now, and then a discontinuation or persistency rate at 12 months of about 50%. So putting those numbers together, I guess the question is, would that mean to expect about 500 patients dropping off over the course of a year? And then if so, how realistic is it to be able to find 500-plus patients of new starts to be able to replace that?
Catherine Owen Adams : Let me try and reorient the math a bit. And if I get convoluted, somebody can help simplify. But you're right. In terms of the patients actively shipped in the quarter, 954. Now, of those patients, 65% of them, just above actually have been on therapy for more than a year. So it's important to understand that within that 954, there are different cohorts of patient start times, but more than 65 have been on the product for over a year. We continue to see strong persistency beyond a year. So we're not seeing sort of a sudden drop off beyond that either. So it's really a cohort question, if I may, in terms of the math, Joel. And in terms of new starts added every quarter and the expected time that that patient stays on therapy. Again, we've given you the 12-month, if you like, persistency rate. However, we are seeing patients stay on therapy for much longer than that. So that's sort of maybe a way to think about it. Mark, or Tom, if --
Mark Schneyer : I mean, when we talk about 12 months, that's the first 12 months of therapy. It's not each 12 months of therapy. So the rate of the persistency rates are very high kind of after the curve is like plateauing after as you get out in time. So it's really in that first 12 months that we keep more than 50% of our patients. And then beyond that time, it's a very high rate of persistency. So as Catherine mentioned, we have that stable base of patients that are on therapy more than 12 months, 65% of our current patients. And so then we're adding patients on top of that. And that's how the patient count grows over time.
Catherine Owen Adams : Maybe I'll just give you one statistic that gives you maybe a thought. As we went through 2024, we started sort of with 870 or so patients per quarter, and now we're at 954. So again, they don't drop off at the end of the year. They continue to stay on therapy. Hoping that that helps you out, Joel. If you need some more follow-up, I'm happy to do that too.
Operator: Thank you. Our next question comes from the line of Sumant Kulkarni with Canaccord Genuity. Your line is now open.
Sumant Kulkarni: Good afternoon. Thanks for taking our questions. I have two quick ones. Given post-trial briefing is done on the Pimavanserin-2 case, could you remind us of your latest assumptions on when you might expect generic competition on NUPLAZID? And second, on trofinetide, do you expect to start recognizing European revenue from France via the paid early access program that country allows? And how important might that type of initiative be to give you a good sense of how the product might launch in the rest of Europe?
Catherine Owen Adams : Okay. I'm going to ask Mark to update you on NUPLAZID, and then I'll take the France question.
Mark Schneyer : Yeah. So on Pimavanserin and IP, we remain kind of in the view that we have bookends, right? The short end of the bookend would be October 2030. The long end of the bookend is February 2038. Really, nothing has changed with our reasoning behind that as we've been talking over the last month and year, whatever the timeframe would be. Really, the only update since the last time we've talked publicly is that oral arguments for the appeal on our composition of matter is now scheduled for June 6th of this year.
Catherine Owen Adams : And in terms of France, I'll start and Tom can add color. I think you're referring to the ATU program in France, which has now got a different acronym that's currently escaping me. But essentially, it's the early access program where the French government pays for products. We're putting in place mechanisms for that program to be activated in France for DAYBUE. There are a number of regulatory and legal considerations we need to put in place before that's actioned, but that's actively going on right now. As you know, once you then get reimbursement through the Transparency Commission, those patients switch over to paid product from the French government. And that's our current plan. Again, we have to understand what the French situation is nearer to the time, but we are planning for the ATU to be activated this year. And we're planning for those patients to transition over to commercial product once those negotiations have completed. Tom, did I miss anything on your --
Tom Garner: No, I think as it relates to France, that's entirely true. I mean, the other thing I would say is obviously Germany, we will be having a managed access program there as well. And actually, Germany, if you recall, will be out the gates pretty significantly ahead of where we are in France. So I think if you want to kind of have a good kind of barometer as to what's going to be happening in Europe, the German launch will be the one to watch. Because we do anticipate having patients enrolled in that early access program. As a reminder, on day one, once we have a European approval, they will be able to be switched over to commercial drug with free drug pricing as well. So more to come, but that's how we expect to see things playing out.
Catherine Owen Adams : Hopefully that answers the question. Take the next one.
Operator: Thank you. Our next question comes from the line of Malcolm Hoffman with BMO Capital Markets. Your line is now open.
Malcolm Hoffman: Hi, Malcolm for Evan from BMO. I wanted to touch on NUPLAZID gross net. I believe you said gross net for the quarter was roughly 24%, and the guide suggests a range for the year of 22.5% to 25.5%. Can you just talk through what pushes and pulls you expect could move this gross net one side or another of the guide? Thank you.
Catherine Owen Adams : Yeah, I'll let Mark take the gross net question.
Mark Schneyer : Yeah, I think right now, at least the first quarter is kind of right in the middle of our guidance. It really is just patient mix, which we don't control. It's just the payers for our patient base can change over time. And that can influence quarterly fluctuations and what the gross net is on the year. The other thing that influences it is if we take any pricing action. We had a small modest price increase at the beginning of the year. We don't foreshadow when we may or may not take pricing action. We price our medicines to value, and we just announce that when and if we do it over time.
Catherine Owen Adams : Great. Thanks, Mark.
Operator: Thank you. I'm showing no further questions at this time. I would now like to turn it back to Catherine Owen-Adams for closing remarks.
Catherine Owen Adams : Well, just thanks, everybody, for your questions this quarter. We look forward to continuing to deliver on our commitments to our patients and updating you on our progress next quarter. Thanks again for your questions.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.